Kevin Cotter: [Call Starts Abruptly] will follow the formal presentation. If you have questions during the presentation, you can type them into the chat to be answered during the question-and-answer period. Questions can only be seen by the moderator. As a reminder, this conference call is being recorded. Before we begin the formal presentation, I’d like to remind everyone that statements made on this call and webcast may contain provisions, estimates and other information that might be considered forward-looking. While these forward-looking statements represent our current judgment on what the future holds, they are subject to risk and uncertainties that could cause actual results to differ materially. You are cautioned not to place undue reliance on these forward looking statements, which reflect our opinions only as the date of this presentation. Please keep in mind that we are not obligating ourselves to revise or publicly release results of any revisions to these forward-looking statements in light of new information or future events. Throughout today’s discussion we will attempt to present some important factors relating to our business that may affect our predictions. You should also review our most recent Form 10-K and Form 10-Q that we just filed. For a more complete discussion of these factors and other risks, particularly under the heading Risk Factors, please look at – go to the website for mdb.com. Also a replay of this call will be provided on our website. Your host today, Chris Marlett, CEO and Co-Founder of MDB, will present results of operations, a highlight of the results in the fourth quarter and for the full year as of December 31, 2024. At this time I’d like to turn the call over to MDB Capital Holdings’ Chief Executive, Chris Marlett.
Chris Marlett: Thanks, Kevin. Well, thanks everyone for joining. I’m going to display the slide deck here, which takes us through the – through our presentation. The – I want to, first of all, apologize, we – in Invizyne, we were notified by our auditors a few weeks ago that we were going to be deconsolidating the financial statements of Invizyne, which caused a – which causes – which is sort of good in, in one way and that it’s going to be very easy to analyze the financial statements of MDB. But it prevented us from actually filing until today and we were just informed by the SEC that the system is backed up because today is the deadline and so the actual 10-K is not yet formally filed even though we’ve submitted it. So, for that reason I cannot actually get too deep into any sort of financial results, but I can give you sort of an overview of what we’re doing and then we’re going to be delivering a detailed shareholder letter this week, which will get into those financial results. I also want to invite you to call, whether it’s me or Jeremy, our CFO, to discuss any questions you have once you see the 10-K and once you see the shareholder letter. So with that, I want to really just go over what we’ve accomplished this past year. I’m very excited about where we’re at today and all the accomplishments of 2024. So I’ll go over first by just sort of reminding you what we do. Many of the listeners today may not be shareholders for a long time or investors with MDB for a long time. So I’ll go through this part fairly quickly. But as most of you know by now, what we really do is transformation deep technology big ideas into valuable public companies. We’ve been doing that for 27 years now. We’ve taken 17 companies public this way and we – just in our 17th, this past October with eXoZymes. And what’s exciting about – what’s changing for us is that our theory was is that if we could scale up our operations, we could effectively create an asset class or a portfolio for investors, as opposed to what we did before, which was very episodic, maybe one company on average every 18 months. We could present enough companies that somebody could actually treat this as an asset class and we could curate a portfolio public venture for these investors. And that’s as a result of us going public, we decided to scale up our analyst program and bring on more analysts. And I would tell you that it is working. And what’s happening is, is that we’re vetting more ideas than we ever have. And as a result, we’re getting not only better companies to present you with, but also more. And I’ll get into that in a little bit. And what we do is we not just curate them, but actually have to stand them up as companies. And that’s the role that that basically our entire platform plays, which is to be able to actually convert these ideas into investable assets. And it takes this whole entire platform of PatentVest, our clearing firm and our investor community that’s really been critical in our success and more critical in the scale up of what we’re doing. Where we’ve – we’ve presented this slide before, but it’s a reminder of the fact that we don’t cure ideas and take sort of a traditional venture approach and that we might fund 10 different companies and hope that one gets monetized and pays for the other nine or something of that ilk. Right now, as I’ll also get into a little bit more is that the venture – traditional venture is really under attack. And I think that it presents a really big opportunity to us as we present this data to angel investors, RIAs and other people that we’re looking to broaden the investor community with. This message is resonating with them where they get liquidity, 1202 treatment on their investments and also get something that’s highly curated as something that many people look at as sort of a shotgun approach to investing. So over the past year our primary objective was to make sure that we launched eXoZymes, which we successfully did in October, I believe was it October or November, Jeremy?
Jeremy James: Yes, it’s November.
Chris Marlett: November, sorry. And we really worked hard. The team did a great job. It was not a great time to be bringing a Big Idea public. The market for these small IPOs has been really absolutely horrible. But the team pulled together, the eXoZymes team did a great job and we really are very appreciative of our investor community that came behind us and supported us to get this IPO done. It was one of the smallest IPOs we’ve ever done and yet it was still not easy in this environment. As I talked about before, we screened thousands of opportunities and that pipeline is building, very, very rapidly. And I think that you’re going to see a whole host of new opportunities be presented that are a very high quality, very shortly. We continue to increase our shoulder count. We’re up by 12%. We’re up to about 1,800 shareholders, I believe. And we’ve – as we’ve now launched MDB Direct on our clearing platform, we just started onboarding investors this year. We’re up over – I think over 500 now, but as of the end of year we’re at 456. And our new relationship with STRATA Trust is really helping us to also onboard IRA assets and it’s really a terrific self-directed IRA platform. One of the things that the community team has been working on pretty aggressively is how do we sort of transition from – many times before, we’d have very large investors that took up very large percentages of our offerings. Many of those investors in today’s environment are not quite as aggressive as they used to be. And we really recognize what we wanted to do was create really venture portfolios for RIAs, individual investors, family offices. And that process began, I would say four or five months ago in earnest and we’ve been getting really a great reaction from these RIAs and angel groups. And so we now have lots of engaging discussions going on. Matter of fact, George, who leads – Brandon who leads that effort, and Tony Dammicci are out at an investor group, the Oxford Club, that has been investor in our IPO and investor in many of our transactions. And we really get encouraged by the groundswell of support we’re we’re getting from them. Our message is really resonating with them, and they see this as really a preferred way to invest in venture versus traditional venture. And our operations team did a really great job getting this clearing firm up and running. It is not an easy job to get a new clearing firm running as well as getting a new – a whole new trading system app development, compliance, et cetera. We’ve hired and trained our licensed back-office team. We’ve really worked hard to make sure that, that’s really an integrated offering. And the groups here in the U.S. that are managing the various groups and our team in Latin America are able to really interface and provide a cohesive service offering. I’m sure many of you have probably gotten phone calls from our team in Nicaragua, our Managua office. And I think that they’re doing a great job of updating everyone with new offerings we have, what’s happening from a conference call perspective so you guys can be updated on this stuff. And really reaching out, providing that interface that we’ve always wanted to provide effectively a high-touch environment for our investors. So what we – if you look overall, these are some of the more sort of direct numbers, whether it’s our curation of new opportunities led by Anthony and Mo, who have done a great job mentoring our analyst team and really getting them not just reviewing opportunities, but also getting them positioned for success. And along with our PatentVest team that are really helping stand these companies up. And I don’t think it’s obvious to most of our shareholders that standing up a company is more than just raising money for it and maybe hiring a few people. You really have to put together the business strategy, which includes the IP strategy, the financing strategy, the management team, et cetera. And our team really does all that work. It’s not just analysts picking ideas. It really is standing these companies up. And there the – the actual shareholder numbers were up to 1,800 MDB Direct account, and you can see the assets starting to build. So as we complete more offerings, the assets start to build. And I think I’m very excited that everything is working as we intended. I can’t really talk about the numbers here. But what you will see going forward in our shareholder letter this week and in the slide deck, which will be filed as well, you will see that the result of our deconsolidation of eXoZymes realizes the value or realizes part of the value of eXoZymes that exists in our balance sheet. And we have talked about the investor toolkit. The investor toolkit will be effectively a much shorter discussion now that we’ve deconsolidated eXoZymes. So stay tuned for that breakout and that detail in the next few days. So why am I excited about 2025? Well, we’re seeing a significant increase in opportunities being brought to us, not just from our community members, but also ones that we’re curating ourselves by going to conferences, et cetera. So we’re seeing more opportunities than we’ve ever seen, I think, in the history of our firm. And I think part of that is as a result of what’s happening in the traditional venture and private equity markets. So venture – in my mind, we were out talking to family offices and angel groups, and basically everybody looks at that asset class as something that they really don’t want to invest in any longer in a traditional sense. They don’t like the idea of being locked up in a fund for a number of years and then – or if they’re an angel, they really don’t like the idea of an average hold time of 10 years to get any kind of liquidity. George and I went and spoke in front of one of the largest angel groups on the West Coast last month and it was really pretty startling to see the kind of reaction we got. They really see the benefits of public venture, and I think that we’re getting a lot of engagement from those folks as a result of the differentiation that we’ve been able to describe to them. In addition, we’re seeing a number of these PE firms that were buying companies or investing in these companies. And I think it’s also – there’s been, I would say, over investment in that space, and those funds are struggling with providing return to their investors. And what we’re seeing, as a result, are a number of companies that want to go public. So not just our Big Idea companies, where we come in super early to invest in these companies, stand them up as new opportunities, we’re also seeing opportunities to do IPOs for companies that actually have revenues or companies that are more fully developed. So I think that our ability to actually take companies public will be seen as a value-added activity. So I think that we’re going to have a pretty steady flow of new companies coming as a result of these market dynamics. Here are some other sort of factoids that are probably relevant about the venture capital and private equity markets. The subjective data, I think, will be interesting for you to read and review. For those of you that don’t invest in those kind of markets, I think that – from a macro perspective, I think you’ll start to understand why we could really be sort of the preferred place for a lot of these companies to start to find liquidity and go public. So when you just look at it overall, we see this growing demand for microcap financing, we see investors looking for liquid alternatives, we see public venture asset class to really fit that need. And we’re really, we believe, one of the top companies curating these opportunities. So if you’re an investor looking for a solid asset class and you’re looking for somebody that can curate opportunities, I don’t think you have to look any farther than MDB. And I think we’re super well positioned as a result of our experience, our history, our track record, et cetera. We’re evolving and scaling. We’re realizing that leveraging our platform is still a bit of work in process, but we’re really evolving from the sort of two deals a year kind of firm into something that can actually create a public venture asset class portfolio, as I talked about a bit earlier. And so I think we’re going to be able to serve more companies, more investors and really, as we talk about, scale from where we’ve come from to where we’re going. And I think most people have looked at us as sort of an episodic finder of ideas and I think what we’re going to see is a lot more consistency going forward. And so what we say right now is, historically, we always had more investors than we had opportunities. And as a result of our ability to curate more companies, we really actually have more companies than we’ve had investors. And so that’s why we are really looking to increase our reach. And so our number one strategic priority is to expand our investor community. We’ve engaged with Oxford Club, as I mentioned. Tony and George are down speaking to them tonight, taking some of our investors out to dinner. They have about – they’ve curated about 17,000 members in what they call their Chairman’s Club and Director’s Club of accredited investors. And so we’re spending a lot of time with them. They participated in our IPO, and we’re looking to build a deeper relationship with them. We have been working with these accredited individual angel investors. We’ve announced – we have a relationship with ACA, one of the larger – excuse me, not ACA, TCA, one of the largest – larger groups. And we’ve been talking with ACA as well to sort of go more broadly across the country and really work with these angels. We think that strategically, these angels provide a lot of value, not just capital, but really their experience. These are people that are passionate about investing in venture. And I think that as we bring our message of liquid venture or public venture to them, not only is it resonating, but I think it becomes a really important sort of curating group of investors. So we’re not just curating investments, we’re curating investors that are value-added for the companies that we’re backing. The other interesting approach that we’re now starting to have discussions with is with RIA firms. And as you know, we don’t have a big sales staff in the United States. We’re not set up to interface with thousands of investors right now. And so by working through RIAs, we have the ability to build our network of investors and – in a much broader way by working through RIAs. And I would say that our approach is resonating with these RIAs, where they look at it as being able to introduce public venture as a new asset class to their investors, and it effectively gives them an edge over other RIA firms if they can offer a relationship with us and have the ability to invest in our curated opportunities. These RIAs that we’re talking to are relatively large. And so our approach is, is that we really only need one or two RIA firms to participate with us, which would give us the capability to complete a lot more transactions and also spread our message to a much wider audience of investors as well. So we’re very excited about it. It’s our number one, as I said, strategic priority, and this is what we’re really focused on for 2025. I want to give you a few just updates. I gave a little bit of an update on HeartBeam as of the last conference call. But HeartBeam is an important company in our portfolio. We own 1 million shares and 2.2 million warrants. So as this company develops where we have significant upside with this company. The company is really in the throes of doing something that we think is fairly groundbreaking, in that if you can give a patient or a consumer the ability to take their own 12-lead ECG, it could be quite significant, and being able to be predictive of not only of cardiac issues, but also potentially other life-threatening sort of ailments. And so we’re very excited for their submission to the FDA that we hope we will get feedback from shortly, and hoping that this – that their first product can be launched later this year. We think there’s a very large market. We think that not only do cardiologists and doctors believe that this could be sort of groundbreaking, we believe that the market for this is very, very large. So we’re continuing to work with HeartBeam. We continue to be excited about HeartBeam and hopeful for quite a payoff there. ClearSign was a company that we financed this last year. They’ve been scaling up their operations. They’ve been getting, as you can read from the press releases, greater and greater penetration in the market. I think one of the interesting things also is they’re starting to get traction in the hydrogen market as well, and I think that the hydrogen economy could be interesting as well. Obviously, with the current priorities of expanding oil and gas production in the United States, natural gas we see as being not only cheaper and cheaper, but also more and more states recognizing that reducing emissions from natural gas is going to be important. So we think ClearSign is very well positioned. We have a nice warrant position in ClearSign and we continue to be excited about their future. And eXoZymes, we talk a lot about it. They’re going to be doing their conference on Wednesday. I will be doing a sort of update from our perspective on eXoZymes. We continue to be very excited about where they’re headed. They are demonstrating sort of day in and day out that they can, with their really unique approach to synthetic biology, actually prototype new chemicals or make existing chemicals, which most people in synthetic biology have not been able to really achieve. So we think that as the marketplace becomes aware of their ability to actually bring products that have great promise and great margin associated with them that the value of the company will develop. We’re quite confident they’re going to be announcing some new product categories that will present very large business opportunities. So stay – excuse me, stay tuned for news coming from eXoZymes. We also announced this past year that we had licensed a new asset from – or assets from Mayo Clinic. We’re continuing to develop that opportunity. We have a small initial investment in the company. We’re continuing to develop it with our team and looking at the opportunity to invest more capital and potentially launch that as a new Big Idea. Don’t have anything really new to report with regard to that right now, other than that we’re making steady progress in developing that asset. So again, our approach has always been – it hasn’t changed; that as we develop our portfolio of Big Ideas, that as they become more valuable, that we look to distribute those either shares or cash distributions to our shareholders. So really, that’s why we’re here. I think what’s not apparent is that – and I think will be more apparent shortly, is that our pipeline of new opportunities is probably just as exciting or more as important as the ones that we currently have. So right now, it’s a relatively limited portfolio, but I think we’re pretty confident that, that portfolio is going to increase significantly in the not-too-distant future. So we’re hoping to present one to two new opportunities of Big Ideas that we’re becoming involved in, in the next quarter. So our focus moving forward, again, is expand our investor community, which really is focused on partnerships with RIAs, angel groups, et cetera, and we’re working hard and our team is very focused in that area right now. We – as I said, we think that we have two new Big Idea investment opportunities hopefully coming soon. They’re in advanced stages of development, and we hope to be able to announce those very, very soon. We really continue to line up great Big Ideas, and I think our team is doing a great job there. I’m not saying that we can’t do more. But right now, as I said, our biggest constraint is actually not finding new Big Ideas, our biggest constraint is really now just developing our investor community to back those. We continue to have operational efficiencies across our core areas. We’ll talk about sort of cash spend, cash out versus cash in, in the Shareholder Letter that will be out this week along with our 10-K. Our 10-K will still be, I would say, a little bit messy and probably a little bit of interpretation. Oh, it’s been released. Okay.
Jeremy James: It’s been accepted.
Chris Marlett: Okay. So the 10-K has been accepted. So what I will do very quickly is go back to a slide that gives you a summary. And then what we will do is go back to – you’ll get more granularity on this as of the end of this week when the shareholder letter comes out. And again, please feel free to call either Jeremy or I or other people on the team here that you have a relationship with to get a little bit more visibility on this. So what we wanted to do on this slide, which was sort of very similar to what we were going to show in the investor toolkit, is keep track of sort of our net asset value, if you will, and our enterprise value. And as you can see, at 12/31, combination of cash and securities was $28 million and Big Idea investments, as represented by eXoZymes, was $64 million, which gave us total cash and securities of roughly $93 million. Our stock price as of 12/31 was $6.30, the shares outstanding approximately 9.9 million, which gave us a market value of $62 million. So effectively had a negative market value of $30 million, which basically doesn’t give us much credit for our ability to create these on a sustainable basis. And I know that our job is to show that we can do that sustainably and create great companies as we have in the past. I’ll caution you that, obviously these numbers are super volatile. As of right now, the biggest driver is eXoZymes’ stock price. So it’s been whipsawing with the volatility in the market the last 30 days. And we’ll continue – I don’t have any real commentary on the market per se, but I do think that volatility is in the cards in the short-run. So this is just a basic snapshot. From a cash perspective, we’ve been basically – last year was a year of sort of real development. We had some extraordinary expenses with going public with our old auditors. We’ve probably trimmed a little bit from operations. But as of last year, we utilized about $10.6 million worth of cash. I will tell you that the way we look at that is that a lot of that cash effectively is really our team working to position these new Big Ideas that you’re going to be seeing coming to be real investable assets. So we see that almost like an investment in these actual companies that we bring to you. Our goal with cash is that a combination of our fees not only from financings, but interest, PatentVest fees, et cetera, would offset the majority of our cash OpEx. So going forward, my hope is, is that our cash OpEx will actually – will roughly approximate our revenue from those various line items. We’re hoping that the financing environment ends up being a bit better this year than it was last year. And so a combination of what we see optically from the financing environment being maybe not materially better, but we see our pipeline materially better. Along with lower OpEx, we see that number decreasing over the next 12 months. And so with that, I’m going to stop sharing. And Kevin, I’ll let you open it up to any questions.
A - Kevin Cotter: Yes. All right. Great. Thanks, Chris. The first question actually, I’ll answer this, Chris is – does Lou Basenese still work for the organization? Lou left MDB, and we’re sad to see him go. He’s been a friend of the firm for 15 years. And he had an opportunity to spend a lot more time on his media presence. He’s been doing a lot of time on TV, and he’s really been making a name for himself. And I think he has a little bit more freedom now to do that. He’s always been a friend of the firm and a backer of our companies and we – he’s still a friend of the firm and still showing us ideas, and he’s behind us all the way. I don’t know if you want to add anything to that, Chris.
Chris Marlett: Now Lou, we’ve known – I guess I met Lou for the first time in 2010 when we started talking about our method of, sort of, not only launching Big Ideas, but how to analyze new companies and look at deep technology. And Lou always has been a great communicator. And I think that, I think Lou stays very interested in the asset class and I think in a lot of ways it’s easier for him to participate in what we’re doing from the outside than it is from the inside. And we wish Lou a lot of success with his endeavors. I know he’s reignited his newsletter and is continuing his TV appearance. So that’s we’re very happy.
Kevin Cotter: Yes. Perfect. The other question is, Chris, understanding that you don’t have the ability to go into the numbers regarding eXoZymes, can you discuss in general terms what the deconsolidation will mean for MDB stockholders and for eXoZymes’ investors?
Chris Marlett: In reality, it’s just going to be very simple. So what it was is that, before, we would have all their assets and liabilities on our balance sheet. We would also have their revenue and operating losses in our financials. So you really couldn’t see what MDB was doing very easily separated from what eXoZymes was doing. So now that’s going to be super clear from both an income statement and balance sheet perspective. And you’ll see a bit of that in the 10-K. The 10-K will still need a bit of explanation, but it will be much easier to understand. As a result of that deconsolidation, we took our investment of about $5.6 million, and it was effectively valued at the time of the IPO, if I’m not...
Jeremy James: Like around $40 million.
Chris Marlett: Around $40 million. So we had a gain, so we’ll show a gain on the deconsolidation, if you will. And going forward, the treatment will be reviewed periodically. And we...
Jeremy James: For impairment.
Chris Marlett: [indiscernible] and for impairment and what have you. So it won’t be marked up. If the stock goes up, it will not be marked up on our balance sheet, but it will be easy to tell because you can tell by how many shares we have and what the stock price is. So it won’t be very difficult for us to be able to do the calculation, like we provided on that one slide, to be able to break out the value of eXoZymes on our balance sheet going forward and separate it from an operational perspective from our operations.
Kevin Cotter: Terrific. Great. The next question is; how many Big Idea companies do you reasonably expect to stand up in 2025? And what might the IPO timelines look like for such companies? And then I’ll just also tie in – the other one is, is there any particular sectors that will be involved? Gary, can you talk about the sectors?
Gary Schuman: Yes. I think that – I think what I see optically for the next year, we’re going to have these companies that are, I would say, a bit more developed, maybe even some that have revenue that we’re working to help stand them up, but in a much less extensive way. We’re not having to put a lot of capital in them, but we’re really working to prepare them to go public. That’s an exciting new avenue of business for us, because I see that whether it’s previously backed VC companies or private equity companies are coming to us that could utilize our platform and our community to go public. And I think that, that’s going to give us the ability to do more because we don’t have to – it’s not as much work, quite frankly. And so we’re seeing the opportunity to take some of these companies’ public. I think I can think of one that we are in advanced discussions to hopefully bring public in September. And then we have, I would say, two to three others that are – that we’ve been working on for quite some time, that could end up being more traditional Big Ideas where we have a significant embedded equity interest. And we’re hoping to be able to announce those shortly. Again, we put those in the probability – high probability of happening. But again, anything can happen. We can’t promise them. These are still forward-looking statements. But I’m just giving you optically where I see we should be able to present three – we’re hoping three to four new Big Ideas this year. In the public company sector, we’ve had now a couple of public companies come to us for financings, and I think that we’re kind of excited about some opportunities there. We’ve made a lot more relationships with existing public companies. We kind of have a good idea of the ones that we’re pretty fond of, and we have a lot of relationships building there. And so I think we’ll also potentially being able to offer some more interesting existing public company ones. So with any luck, we’re hoping to be able to present maybe an additional one or two of those this year. So again, no promises, but it looks like the activity is much greater going forward than it’s been historical, is the way we’re looking at it right now.
Kevin Cotter: Great. And how about – the next question is, how do you see the regulatory winds? Have they changed under the Trump administration? Do you expect any significant change in approval time lines?
Chris Marlett: All right. So regulatory is a big question. So we have – I think there’s a lot of cross currents. And so I think regulatory from broker-dealer perspective, it’s something that we – we always are having to deal with regulators, and I think a lot of times it’s frustrating for us to have at our own financial firms the regulation that we face. I think that, that is going to be a breath of fresh air. I think that you can almost sense from the regulators that there’s change happening, which I think will make it easier for new offerings to get done. And I think we saw a – very big offering traded. It’s the Newsmax offering that – digital offering that helped us go public, do – and I mean, they raised $200 million from accredited investors and took it public. And I’m not so sure that would have been as easy to get listed and what have you if there wasn’t a change in administration, because it was a very complicated, complex deal that they allowed to go to public. So, I think that regulatory environment is good for what we do. I think, again, it’s why we are probably pretty bullish on public venture versus traditional venture going forward. Regulatory, in other senses, may become a bit clouded in the short run. So the FDA, right now, we’re – if I had to worry about anything, it would be – I think the FDA is under a lot of change and I think that we don’t know what that will have. Maybe in the short run, it may be negative with regard to getting things through the FDA. In the long run, it may be a benefit. So, it’s very, very hard to tell with regard to that. I think that the other axis that we think about is grant funding, and I think grant funding is also – Invizyne is – or eXoZymes has had a fair bit of grant funding historically. Right now, the grants that have been granted through the DOE and others are still there. But I think there’s a big cloud. If you talk to university researchers and other people, it’s still cloudy as to what’s going to happen regulatorily or in the grant world as well. So that’s – all the things affect us. That’s kind of our optics right now.
Kevin Cotter: Terrific. Thanks. And how about any plans for a – when do you expect to make any type of dividend?
Chris Marlett: Well, with regard to – the only material position that’s – right now is eXoZymes. And I think that the way we look at it is, when is the company sort of maturing, right? You’d hate to distribute all those shares out before there’s a solid footing underneath the company. The company still trades relatively small volume. And so I think our goal is to see sort of a value-creating event happen within eXoZymes. And when there’s more trading volume, and then I think that would probably be a good time to make a distribution. I think as the largest shareholder, I would love to see a distribution. So I’m on your side with that. It’s just – I think doing it at the right time is really just as important, so that we don’t disrupt the market for the shares.
Kevin Cotter: Terrific. And actually, just to tie into that, the last question is, as a shareholder of MDB, how should I think about the investment in cash and resources relative to value creation? So, like you just mentioned with Invizyne. If I remember correctly, I think we invested $6 million or so.
Jeremy James: $5.6 million.
Kevin Cotter: Yes, a lot of time, a lot of firm resources, and then you spin that out.
Chris Marlett: Yes. I think that we want to keep a modest – amount of cash available to take – to basically when we have new opportunities like Invizyne to write a check. The thing that we’re finding in some of these right now is that we don’t have to write a check and or a material check. And the value-add that we’re providing is significant for us to earn a fairly large equity position. But I think that, we do see that writing checks gets us leverage to get bigger equity positions. So I think if we were to monetize any of the eXoZymes at some point, we may look to deploy a little bit of that before we distribute the rest of it out. But again, we’ve never been a real capital-intensive operation, so we’ve never needed, historically, tons of cash to operate. And I’d like to keep it that way. And we create value. And I think as time goes forward, I really don’t want to change that much. I really want to kind of operate MDB like we’ve operated it for the last 27 years, which is – provides a lot of leverage to the shareholders.
Kevin Cotter: Terrific. And that wraps it up on the Q&A, Chris.
Chris Marlett: All right. Well, everyone, thank you for your time. I apologize for not getting more granular on the financials, but you’ll see that in the shareholder letter that we hope to have out by the end of the week. Obviously, you can read the 10-K, and I’ll provide my interpretation of that 10-K in that letter. So, with that, we’ll sign off. Kevin, thanks.
Kevin Cotter: Yes. Thanks, Chris.